Operator: Good morning. My name is Melissa, and I will be – and I would like to welcome everyone to the JetBlue Airways Third Quarter 2017 Earnings Conference Call. As a reminder, this – today's call is being recorded. At this time all participants are in a listen-only mode. I would now like to turn the call over to JetBlue's Director of Investor Relations, David Fintzen. Please go ahead.
David Fintzen - JetBlue Airways Corp.: Thanks, Melissa. Good morning, everyone, and thanks for joining us for our third quarter 2017 earnings call. This morning, we issued our earnings release, our investor update, and the presentation that we will reference during this call. All of those documents are available on our website at investor.jetblue.com and have been filed with the SEC. Joining me here in New York to discuss our results are Robin Hayes, our President and CEO; Marty St. George, EVP, Commercial & Planning; and Steve Priest, EVP, Chief Financial Officer. This morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors and therefore investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from forward-looking statements, please refer to our press release, 10-Q, and other reports filed with the SEC. Also, during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. And now, I'd like to turn the call over to Robin Hayes, JetBlue's President and CEO.
Robin Hayes - JetBlue Airways Corp.: Thanks, Dave. Good morning, and thank you for joining us. Our thoughts today are with all those impacted by the hurricanes, including many of our crewmembers, customers and their families. I would like to thank those in our operation and support centers for rising to the unprecedented challenge of over 30 days of irregular operations. You have safely recovered the operation and volunteered your time helping in the relief efforts. I cannot express how proud I am of our crew members. Our thoughts are also with those affected by the tragic events in Las Vegas, the earthquake in Mexico City, and fires in California. I'd like to start on slide 4 of our presentation. Hurricanes Irma and Maria resulted in over 2,500 canceled flights or 3% of departures. Financially, these storms reduced our EPS in the third quarter by $0.06 and we expect ongoing recovery from both storms to reduce EPS in the fourth quarter by a further $0.10 to $0.13. Marty will provide additional details, but we are confident that the adjustments we are making to our network will minimize any ongoing financial impact in 2018. We are now well into the recovery process. In Florida, we quickly and successfully resumed our full operation within 72 hours of Hurricane Irma. Following a large weather event, it is common to see lingering demand impact similar to what we experienced in New York, following Superstorm Sandy. The data suggests that Florida bookings will return to normal by November, but we should expect a one-time RASM impact in the fourth quarter. In the Caribbean, the full recovery in Puerto Rico, in the wake of Hurricane Maria will take many months. I visited the island twice in the past few weeks and have seen both the scale of devastation, but also the determination to rebuild. As the largest airline in the Commonwealth, we are working closely with the authorities and the community to support short-term needs and help in the long-term recovery. We launched a companywide initiative including daily relief flights, transportation of essential items and fund raising initiatives. We plan to continue our efforts and commitment to providing support in the coming months and during 2018. As Puerto Rico recovers and rebuilds, we will temporarily redeploy inbound leisure flying to other destinations. Leisure is an important part of our business, but the majority of traffic in Puerto Rico is VFR or Visiting Friends and Relatives. We expect VFR demand to continue even as the island recovers. For 2018, we expect to redeploy leisure capacity earlier in the year and then gradually shift that capacity back as resorts and hotels reopen. We expect a full return – we expect to return to a full operation by the end of next year. We will also continue to watch booking trends closely and will adjust our plan as needed. Let's move to slide 5. During the third quarter, we reported operating income of $310 million, a pre-tax margin of 16.2%, and earnings per share of $0.55. Our ability to financially absorb these storms and quickly adjust our business speaks to how far we have come in refining our offering, diversifying our network, and strengthening our balance sheet. These efforts, combined with our Structural Cost Program, form the building blocks that we plan to use to sustain above average industry margins and work towards superior margins. We continue our efforts to mitigate ATC challenges in the Northeast, where the cost of operating continues to increase. As a point of reference, in the third quarter, ATC related constraints were three quarters of a point headwind to RASM. As we move through the 2018 planning process, we are evaluating schedule adjustments and other investments to mitigate the reality of delays in New York, improve on-time performance, and protect our margins in future peak travel periods. We continue to engage with the government at all levels to find short- and long-term ways to improve our vital Air Traffic Control system. Moving to slide 6 and some highlights from the third quarter. Building market relevance in Fort Lauderdale as we have successfully done in New York and Boston is one of the critical efforts in our journey to superior margins. We're pleased that in July, prior to Irma impacting Florida, RASM growth in Fort Lauderdale was higher than our system as a whole. That success builds on a strong second quarter and despite a highly competitive industry pricing environment in South Florida. Mint continues to exceed our expectation. We are thrilled with how our new Mint flying is developing in Fort Lauderdale with RASM gains of over 12% in the quarter. Our most recent new service, New York to San Diego, is off to an exceptional start. Mint demonstrates that there is clearly a customer segment looking for a higher quality offering at a lower price. Next month Mint flying will, for the first time, account for the majority of transcontinental capacity. Our Boston franchise continues to produce superior margins. Our strategy remains building our relevance, which grows both our business and leisure franchise as well as our ancillary revenues. We look forward to adding Syracuse service in January and Minneapolis service in May 2018, our 65th non-stop destination and the largest of our un-served domestic destinations from Boston. We continue to make progress on our Structural Cost Program. Our effort on costs are the difference between good and great margins. Marty and Steve will provide additional detail about our accomplishments. We're adjusting the business following the two hurricanes in a balanced and prudent way, and despite the short-term challenges, we remain focused on our long-term margin commitments. We believe our ability to execute on our revenue and cost initiatives will allow us to achieve our margin goals, and in turn create long-term shareholder value. Marty, over to you.
Martin J. St. George - JetBlue Airways Corp.: Thank you, Robin. Morning, everyone, and thanks for joining us. I would also like to thank our crew members, who pulled together through a very challenging third quarter, successfully bringing relief to affected areas, while navigating ATC challenges and hurricanes. Before I get to the regular slides, I'd like to provide some additional details on the impact of Hurricanes Irma and Maria and our plans for the Caribbean. Hurricane Irma interrupted our operation in Florida, impacting our two Florida Focus Cities and the other Blue Cities in the state as well as the Caribbean. As Robin mentioned, Irma disrupted bookings and demand in Florida temporarily, but we see evidence of and expect trends to normalize by the middle of the fourth quarter. This recovery is visible in November bookings, and we don't anticipate making any material capacity adjustments in Florida. However, the recovery in Puerto Rico from Hurricane Maria will require capacity adjustments. Our approach is to temporarily resize our capacity to match VFR demand, which accounts for approximately two-thirds of the traffic to the island. We anticipate that VFR traffic will continue as Puerto Rico recovers over the coming months, similar to what we have experienced following other natural disasters. As a reminder, only 22% of our Latin capacity is to and from the Commonwealth of Puerto Rico. We expect to redeploy the reduced Puerto Rico flying to alternative leisure destinations into 2018. For the fourth quarter, our redeployment will focus on peak holiday travel. Our plan is for the 2018 redeployment to come through additional frequencies in existing leisure routes. The majority of the Caribbean, certainly when measured by available hotel rooms, is open for business, as is Florida. We have seen strong bookings as customers from New York and Boston rebook their travel to other destinations like Aruba, Grand Cayman, Barbados, to name just a few. Based on past experience with natural disasters, we believe Puerto Rico resorts will be up and running for business. And leisure demand will shift back to the island by the end of 2018. Turning to slide 8 on capacity. We view capacity decisions through the lens of our margin commitments, and continue to see margin accretive opportunities in our Focus Cities. For the fourth quarter, we anticipate system (10:37) capacity to grow between 4.5% and 5.5%, including a negative 2.9% (sic) [2.9 points] (10:43) impact – point impact related to hurricanes. We continue to expand Mint, now from three of our Focus Cities on the East Coast. The margin accretive seat miles for Mint aircraft are scheduled to grow approximately 60% year-over-year in the fourth quarter. We continue to build our Boston franchise with seat miles scheduled up just over 13% for the fourth quarter year-over-year. Growth in the fourth quarter comes largely through adding frequencies to the existing markets. We also continue to develop Fort Lauderdale with scheduled capacity planned to increase approximately 8% in the fourth quarter, including four new destinations that started earlier in the year, as well as added frequencies. We remain targeted at margin accretive opportunities. As such, approximately 80% of our incremental capacity in the fourth quarter is coming in Boston and Fort Lauderdale. Looking into 2018, we will continue to adjust capacity to achieve our margin commitments. On a schedule-to-schedule basis, we expect to grow at the lower end of our mid to high single-digit target range. On that schedule-to-schedule basis, capacity growth in 2018 is expected to be lower than 2017. Keep in mind, 2018 flown capacity growth will be over 2% higher than scheduled growth, due to lower completion factor in 2017 from ATC and hurricanes. Moving to slide 9, in both Boston and Fort Lauderdale, we continue to expand the breadth and depth of our service. In Boston, we are excited to add Minneapolis to the network in the second quarter of 2018. In Fort Lauderdale, we plan to add new service to Atlanta next March. Both are the largest domestic markets un-served by JetBlue from each Focus City. In the Northeast, Boston continues to produce superior margins and we see ample margin opportunities. We've developed a diverse mix of business and leisure markets. Fleet is an important tool in that strategy. A smaller gauge aircraft allows us to build breadth and depth of service in business markets in a margin accretive way. On the leisure side, we expect to accelerate the up-gauging in Boston leisure markets as we take additional 200 seat A321 aircraft next year. This brings another important tool that we expect to further increase margins, as we grow our Boston leisure franchise. We are extremely pleased with our progress in Fort Lauderdale. Our RASM growth in July was approximately 5%, clearly outpacing the system prior to weather disruptions. Our customers' preference for our superior value proposition is driving the strong RASM performance of this Focus City. As Robin mentioned, Mint continues to perform extremely well. West Coast flights from Fort Lauderdale are exceeding our expectations with RASM gains of 12% year-over-year, and the recently converted New York-San Diego Mint route is off to a very strong start. Mint aircraft will contribute approximately 16% of ASMs in the fourth quarter, up from 11% at the end of last year. We are excited to convert one additional route to Mint in the fourth quarter of 2017, JFK and Vegas – Las Vegas. Turning to slide 10 and the revenue outlook. Demand was solid in the third quarter. RASM grew 0.9% year-over-year near the upper end of our guidance from early September, and well within the initial guidance provided during our last earnings call. Our RASM was impacted by hurricanes, ATC challenges and starting in mid-July, a more competitive industry pricing environment. To size each, Hurricanes Irma and Maria combined raised RASM growth by 30 basis points. ATC challenges reduced RASM growth by three quarters of a point due to lost peak flying and customer competition. This impact is slightly higher than the half point we had expected initially. Lastly, we estimate the increasingly competitive industry environment reduce RASM growth by approximately one point in the third quarter. Looking into the fourth quarter, we expect RASM to decline between minus 3% and 0% including a one to two point negative impact from hurricanes. We saw low close-in fare spread in our network throughout the third quarter. Pricing did stabilize at the end of September, and more recently, the yield environment has been improving. We have solid underlying leisure demand trends into the fourth quarter even with the challenges we faced during the third. Despite hurricanes and a dynamic pricing environment, we remain focused on our long-term revenue initiatives. We are particularly pleased with our co-branded credit card with Barclays, making progress towards $60 million of incremental earnings into 2019. We have seen an increase of over 60% in the size of the card portfolio from when our partnership started. Now, the focus this quarter has been strengthening synergies between our Structural Cost Program and our long-term distribution strategy. In order to minimize distribution costs, we have been proactively reducing the number of online travel agencies that sell our tickets. This is the first phase of a broader strategy to drive our most price-sensitive customers towards direct distribution, our lowest cost and best merchandise channel. This strategy is an example of how we can lower our costs and better support low fares on jetblue.com. It's been a very busy quarter for the commercial team, but we look forward to the margin opportunities ahead of us. We continue to balance our investments with near-term margin performance as we all work towards our superior margin goal. And with that, I'll turn the call over to Steve.
Stephen J. Priest - JetBlue Airways Corp.: Thank you, Marty and Robin. Good morning, everyone and thanks for joining us. I'd like to echo Robin and Marty in thanking our crew members whose response to the hurricanes has been outstanding. I'm very proud of our crew members' efforts to provide much needed support to those affected in our network. On slide 12, with some highlights for the quarter. Pre-tax margin was 16.2%, down 2.9 percentage points year-over-year. Our operating income was $310 million, down 12% year-over-year, and our net income for the quarter was $179 million. EPS was $0.55 for basic and diluted share. Profit sharing accrued for the quarter was $12 million. The effective tax rate for the third quarter was 39%, and we expect a 37% effective tax rate for the full year. This has been an usual third quarter to say the least beginning with the ATC challenges that carried into August, and then the impact of major hurricanes in September. A competitive environment and expected pressures from higher labor and fuel costs also contributed to the year-over-year decline in our pre-tax margin. We estimate that the hurricanes reduced our pre-tax margin by 1.4 points. Moving to slide 13. CASM ex-fuel increased 2.7% in the third quarter, which includes both the impact from hurricanes and 1.4 points related to favorable timing of maintenance and marketing expenses that moved into the fourth quarter. Excluding the hurricane impact and the timing benefit, our CASM ex-fuel was up 1.4% below the low end of our original guidance for the quarter. Looking into the fourth quarter, we expect CASM ex-fuel to grow between 5% and 7% driven by reduced capacity due to hurricanes and the timing of expenses. Adjusting for the cost impact of the hurricanes, and the timing shift from a CASM ex-fuel, that range translates to approximately 1% to 3%. Keep in mind that since our original plan in late 2016, we've pulled nearly three points of planned capacity growth from the fourth quarter. As Marty mentioned, we expect schedule-to-schedule capacity growth to slow again in 2018. We're assuming ATC challenges are likely to continue and are adjusting our capacity plans. We are making capacity adjustments early to better protect our margins and earnings in the key peak seasonal periods. Moving on to slide 14. We've made good progress through the year in managing our non-fuel costs. Despite ATC challenges and fleet capacity reductions, the midpoint of our current 2017 CASM ex-fuel guide when adjusted for hurricanes is within our original guidance for the year. 2017 has been a critical year for our Structural Cost Program. We continue to expect full run rate savings of between $250 million and $300 million by 2020. This quarter, we made progress towards long-term contracts in tech ops, where 85% of our spending is with business partners. We expect to launch an RFP process for our V2500 engine maintenance in 2018, an important step towards achieving our goal of $100 million to $125 million of annual structural cost savings in tech ops. We remain absolutely committed to our 0% to 1% CASM CAGR goals through 2020. Moving onto slide 15. This quarter we purchased three A321 aircraft with cash all in Mint configuration. We ended the quarter with 236 aircrafts, including 110 unencumbered. For 2018, we have 11 aircraft on order. The first three A321s are scheduled to be Mint aircraft. The following three are scheduled to be delivered in our 200 feet all-core configuration. We expect the remaining five to be all-core, but retain flexibility to choose a configuration that provides the greatest margin benefit. Both Mint and all-core A321s have proven to be extremely effective tools to increase margins. Our comprehensive fleet review continues as we explore all of our options. Our focus remains on balancing our capital expenditure with our margin commitments. As a part of our review, we continue to evaluate the A321-LR. As a reminder, we have the option to convert existing A321neo orders with the LR option expected to be available no earlier than the fourth quarter of 2019. Regarding our cabin restyling program, the industry has experienced design failures with the space efficient lavatories that we have installed on our A321s, and we are planning to install on the A320s. In September, we began repairing the existing A321s. We're working with Airbus and Zodiac as well as other business partners to ensure these repairs are effective and address the problems we and other airlines have experienced. We're doing this before we begin modifications on our A320s to avoid having to take aircraft out of service at a later date. We remain committed to this initiative and have set another decision point next month to evaluate the repairs and determine the start date for the A320 restyling program. Moving to slide 16, we closed the third quarter with an adjusted debt-to-cap ratio of 32%. Cash in investments were approximately 12% of trailing 12-month revenue. We are extremely comfortable with both our liquidity and our leverage and continue to target a ratio between 30% and 40% over this cycle. Today, our balance sheet is one of the strongest in the industry and we continue to take a balanced approach to capital allocation. It's remarkable that we've been able to lower our leverage and repurchase shares even when faced with two of the largest storms in our history. Our CapEx guidance for the fourth quarter is expected to be near $420 million, composed of approximately $350 million in aircraft, and the remaining non-aircraft spend. We've again lowered our non-aircraft CapEx guidance by approximately $50 million. Our midterm CapEx is unchanged at an average $1.1 billion for the period 2017 to 2020. We have the financial foundation to both continue investing in our business and returning capital to our shareholders. In September, we completed our most recent $130 million ASR. This completes the $500 million share repurchase authorized by our board in 2016 in just one year. Over the last year we've returned more than 7% of our average market capitalization to shareholders, second highest amongst airlines and more than most U.S. transportation companies. In conclusion, I'd like to put our last quarter into proper context. Despite unprecedented ATC challenges, repeated hurricane events and the competitive industry environment, we have been able to sustain solid margins and made progress towards our long-term margin commitments and return capital to our shareholders. We have demonstrated particularly through our rate (23:45) reductions and capacity guidance this year, that we will take actions required to meet our commitments and create long-term shareholder value. Our network has continued to strengthen and demand is solid. We believe in healthy competition and have proven that our combination of service, product-linked costs can compete effectively across the industry. We are working hard to further improve JetBlue's margins, and we continue our journey toward superior margins that we are confident will increase shareholder value. We are now happy to take your questions.
David Fintzen - JetBlue Airways Corp.: Thanks everyone. Melissa, we're now ready for the question-and-answer session with the analysts. Please go ahead with the instructions.
Operator: Thank you. And our first question comes from the line of Michael Linenberg.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Yeah. Hey. Good morning, everybody. I guess two questions here. I just – some clarity around your capacity growth plan for 2018. You said schedule versus schedule. And I'm just – there have been so many schedule modifications in 2017. Are we to use the one back in January? I think you were going to grow 6.5% to 8.5% for the year. So is that the baseline that you're modifying your growth plan in 2018? Is it based off of the 6.5% to 8.5%? What's the base?
Robin Hayes - JetBlue Airways Corp.: Good morning, Michael. It's Robin. I'm going to throw the one over to Marty.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay.
Martin J. St. George - JetBlue Airways Corp.: Okay. Thanks, Robin. Morning, Mike.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Hey, Marty.
Martin J. St. George - JetBlue Airways Corp.: Yeah. I think it's fair to say – go back to what we had said in the script, which is the lower end of the mid to high single-digits. So yeah, I think using that 6.5% to 8.5% number is probably a good place to start. Obviously, there's a lot of noise in there because of what's happening with storms, which is why we think it's really important for us to differentiate that schedule-to-schedule versus actual, there's going to be a lot more variability in 2018 than we've seen historically.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay. Great. And then, Marty, just maybe a second question for you. Look, you've been very effective in dealing with Spirit historically. You've done a nice job in Fort Lauderdale, and it seems like you've made some pretty good gains against them. With all of the big three now rolling out basic economy, I mean now you have a lot more seats at very low fares in some of your key lanes, including Northeast to Florida. I mean how have you had to – have you had to change your response or modify your offering? I mean, what – it sounds like things were stabilizing at the end of September, but it seems like it has had some impact on you. Can you just talk about some of the puts and takes that you're seeing in competing against much bigger players with a lot more seats at those low fares?
Martin J. St. George - JetBlue Airways Corp.: Sure. Thanks, Mike. I'd start by saying we have been competing with Spirit head-to-head longer than just about anybody. And I think if you look at our history of competing with them, we make a market-by-market decision as far as when we match and when we don't match. Obviously, additional seats in the marketplace, whether from legacies or us or whoever, may impact that strategy on a route-by-route basis, but the playbook has really not changed dramatically. We have a large team of revenue management analysts, each of them treats their market like their own little business, and each of them runs it in a way to try to maximize margins. So, honestly, we look at this as normal course of business for JetBlue.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay. Great. Thanks. Thank you very much.
Operator: And our next question comes from the line of Jamie Baker.
Jamie N. Baker - JPMorgan Securities LLC: Hey. Good morning, everybody.
Robin Hayes - JetBlue Airways Corp.: Morning, Jamie.
Stephen J. Priest - JetBlue Airways Corp.: Morning, Jamie.
Jamie N. Baker - JPMorgan Securities LLC: Robin, in regards to the Norwegian alliance commentary or story, however you want to describe it from last week, when I think about JetBlue's partner strategy, it sort of feels like you'll do a deal with anybody. And I don't mean that in a bad way. But your portfolio, I think it's up to something like 50 airlines at this point. It just feels like if somebody comes knocking, JetBlue responds with a yes. I'm sure there's actually some criteria in place. My question is whether Norwegian's business model, how they operate, does it appear to satisfy whatever criteria that JetBlue uses? And are your own transatlantic ambitions in any way influencing any eventual decision that might be reached with Norwegian?
Robin Hayes - JetBlue Airways Corp.: Hi, Jamie. Good morning. And I will address your question by saying yes to everybody. Look, we – I think we've explained this before. I mean, we've always had a very open architecture model to partners. I mean, we have – when you've got three large legacy airlines in the U.S., increasingly sort of just working with their partners, there's a large portfolio of airlines who want to connect in our network. But it's very important that we do it in a way that makes sense to JetBlue. And so, when we started on this strategy several years ago, we came up with this concept where we needed to ensure a similar yield from a partner connecting itinerary to what we could sell for ourselves, which is very different as you know to how many of the traditional arrangements work around straight rate prorate. So indeed, there were many airlines that we do say no to, because they're not willing to work with us under that commercial framework. So, I don't want to address the specific question around one individual partner. I read the comments just like you do, but a decision to work with any partner is really going to be based on them agreeing to work within the sort of commercial framework that has been really successful for us over the last several years.
Jamie N. Baker - JPMorgan Securities LLC: Got it. And the second question either for you and/or Steve. The ex-fuel CASM CAGR of flat to up 1% over the next three years, I want to make sure that I understand this. It's predicated on high single-digit flown versus flown growth. And it includes profit sharing. And there's something in there for labor. Is that correct?
Stephen J. Priest - JetBlue Airways Corp.: Hi. Good morning, Jamie. Steve here. I'll pick that one up. Yeah, just to give absolute clarity, it's based on capacity growth of mid to high single-digits. And it's a CAGR from 2018 to 2020 at 0% to 1%. And it does include a profit share and any additional labor costs within that guide.
Jamie N. Baker - JPMorgan Securities LLC: Okay. So my question then is this, why should we take that guide seriously? And I don't mean that to be snarky, but it ranks as probably the single most ambitious cost program in the entire industry right now. I'd probably have to go back to Delta's Leadership 7.5 to find anything this aggressive. High level, can you remind us of how you expect to achieve this? I mean, you mentioned the tech ops, but there's got to be more than that?
Robin Hayes - JetBlue Airways Corp.: Yeah, there is a lot more than that, Jamie. And I'm incredibly confident with the program that we've put out there. Just as a reminder, just going back to December 2016 Investor Day. We laid out a huge Structural Cost Program to achieve $250 million to $300 million of absolute savings in run rate and completed by the end of 2019. This isn't just about tech ops. This is about a deep review across the whole of the JetBlue business. We've got great opportunities in tech ops, we've got great opportunities in airports, we've got great opportunity across our corporate office and working very, very closely with Marty. We've got a big focus on distribution and looking at the way that we sell and service to our customers which can go forward. We've made terrific progress so far. At the end of quarter two, we talked about the fact that we already got $45 million on the run rate for that 2020 and we've continued to make progress beyond that and we're running just over $70 million today. The other key element of this overall program, which is helping us is the re-styling of our aircrafts. So, we completed the A321 aircraft, which we put an additional 5% of seats on going from 190 to 200 and we are about to embark on our A320 fleet that we referred to earlier, which increases the seat count by 8% going up from 150 to 162 seats. So, that's a very, very accretive use of capital and really helps us with the guide that we've put out there. But just to reiterate, the whole company, the whole organization is completely behind this effort and we're very confident with the progress we've made to-date.
Jamie N. Baker - JPMorgan Securities LLC: Okay. Thanks.
Operator: And our next question comes from the line of Helane Becker.
Helane Becker - Cowen & Co. LLC: Thanks, operator. Hi, guys. Thanks for your time. Just on a point of clarification, something you said about growth. You were talking about getting, I guess I wasn't sure if it was Puerto Rico or the Caribbean back to where you called normal growth by year-end 2018 or normal levels by 2018. So two; one thing, is can you just clarify that? And then two, when you talk about a normal level, do you mean the level that you would have been at had you not seen a decline this year in capacity growth so that you're actually going to grow more next year or is it just back to this year's level?
Martin J. St. George - JetBlue Airways Corp.: Hi Helane, it's Marty, I'll take that one. First and foremost, I think it's important to mention that with respect to the impact of Irma and Maria on our growth rate, from a top line perspective, there's really no impact to speak of. We are very confident about our options to redeploy that capacity. And frankly, I think it's important to note that we're redeploying that capacity in places that I would call – in air quotes, temporary, because we do expect that that capacity will go back to Puerto Rico as the island redevelops. With respect to what the future size of Puerto Rico is, I think if you were to ask nominally, right now we'd all say we want to go back to where we were before the storm, if not more. But at the end of the day, we're going to let the size of the market dictate the service we provide. I think it's important to remind you that, we have been the largest carrier in the Commonwealth for quite a while. We have a very strong and a very profitable franchise down there and we want to make sure that we are there as Puerto Rico recovers.
Helane Becker - Cowen & Co. LLC: Okay, okay. I think I got that. Thanks, Marty. And then, Robin, just on your ATC delays, I know I asked this question last time and I think you said that in the second quarter the delays were something like two out of every three days. And I'm just wondering if you can talk about the delays relative to that? And since the summer months are over, have you noticed any improvement in ATC issues?
Robin Hayes - JetBlue Airways Corp.: Yeah, no. Thanks, Helane. I would describe the peak ATC issues we had this summer as the most acute that we have seen. We shared the sort of size and scale of that on the last call. And I think that we're always keen to look at what happened and how do we learn and plan for next summer. And I think there are two and we touched this on the scripts earlier; there were two areas that we ended up underperforming and one is the revenue impact of canceled flights and delays. And then, the second thing is unplanned cost. One of the CASM pressures we had in the quarter was an amount of unplanned operational costs, whether that's overtime or higher than budgeted crew hours. So, how do we plan the 2018 peak to focus on margin? The peak period is very important for JetBlue, always have been. We have a high utilization model in terms of how we fly the airplanes, and so we have to perform well in the peak. So, as we think about 2018, we're thinking about what is the – some of the steps we should take to better setup for that peak so we can maximize our margin during that period. And obviously once we got out the peak, we did start to see less ATC issues, but we still have the runway closure issue in Kennedy that we're still dealing with on and on certain days, like today, we've already gone out with over 30 cancellations because of expected delays at Kennedy today. So, we are not out of the woods by any means and the – some of the starting challenges that we've been transparent about, we continue to see those into 2018 as well.
Helane Becker - Cowen & Co. LLC: Okay. Thanks, Robin. I appreciate your help.
Operator: And your next question comes from the line of Duane Pfennigwerth.
Duane Pfennigwerth - Evercore ISI: Hey. Thanks, good morning. Duane here. So, in terms of reallocation of Caribbean capacity in particular, as we see here today, can you say how many aircraft that might represent? And for Florida specifically, if you're pulling back in the Caribbean, do you still need to be growing feed into Lauderdale, how do you think about your Florida growth rate into 2018?
Martin J. St. George - JetBlue Airways Corp.: Hi, Duane. It's Marty, I'll take that. Two great questions. First, with respect to redeployment in San Juan, our theory – our strategy is to basically redeploy the leisure capacity in San Juan, which is about a third of the capacity. San Juan overall, as you know, ranges from 6% to 7% of our ASMs, so think of it as one to two points of ASMs to move. And we have a large variety of places to redeploy that, and you'll start seeing that loaded very soon. With respect to feed, we do not schedule really any of our network based on feed. So we're not – when we look at the capacity that we're flying from places like Orlando and Fort Lauderdale to Puerto Rico, that supply is sized to local demand. So we're not expecting any major impact to flow traffic because of that. We are an airline that runs almost 90% local. It's actually important kind of our low cost business model as that helps us keep fares low, and it also is what customers prefer. So, I would not look at any sort of knock-on effects to sort of a feed network, because there really is no feed network.
Duane Pfennigwerth - Evercore ISI: Okay fair. I thought it was maybe part of the justification for planting the flag in Lauderdale, but my mistake. Any update on your labor negotiations timing, and given the uncertainty there, how we should be thinking about your cost profile into 2018 excluding any new agreement?
Robin Hayes - JetBlue Airways Corp.: Hi, Duane. Was that a rebrand on the name at the beginning?
Duane Pfennigwerth - Evercore ISI: Just a mispronunciation.
Robin Hayes - JetBlue Airways Corp.: Okay. Great. Look, no, we are working – talks are continuing with ALPA. We are under the mediation process right now. We're working through that with the NMB in very good faith. I think we all want to get things concluded, but I can't give you any specific update on timing. There is a process around this and other than we're working through it in a very good faith way, I can't sort of help with the modeling question and we won't be giving a number around that because we don't want to negotiate on the phone. That's something that is going to stay in the room and stay in the negotiation.
Duane Pfennigwerth - Evercore ISI: Very fair. But with respect to the second half of the question, how should we be thinking about your cost profile in 2018 excluding any new agreement? Appreciate the CAGR that you've outlined but just asking about 2018 specifically? Thank you.
Robin Hayes - JetBlue Airways Corp.: Thanks, Duane. I'll pass that over to Steve.
Stephen J. Priest - JetBlue Airways Corp.: Good morning, Duane. Steve here. I think it's really, Duane, about building on the great progress that we've made in 2017. And I just want to still give you a little bit of color there – around that. If you take into account some of the headwinds we came into 2017 with – with regards to labor and maintenance escalations, the stage length and obviously the storms, excluding those cost pressures that we had, essentially we've delivered flat CASM for 2017. The Structural Cost Program has been a pivotal part of that, and I will vigor and focus on our cost base. As we mentioned in our overall guide, you will continue to see more and more traction on the Structural Cost Program as you go to the right. So you'll start getting some in 2018, more in 2019, and ultimately, the full delivery in 2020. We haven't specifically gotten to any CASM guide for 2018. The one thing I can sort of tell you thinking about headwinds and tailwinds. From a headwind standpoint, we have, as I mentioned, seen over the recent years, escalations in our maintenance contracts. What I'm delighted to say is that we're starting to mitigate those. We've already undertaken the Neo RFP on the engines, which are underway. We've already launched the heavy maintenance on the (41:54), our Airbus fleet, that's underway. We are going to be launching an RFP for our V2500 engines in 2018. So when you start seeing some of those really big strategic structural changes to our business, you'll start as we weave through the next few years to start seeing some of those – those tailwinds help us shape and deliver our CASM commitments as we go over the long-term. So, that hopefully gives you a bit of color in terms of the initiatives and how we're taking things forward.
Duane Pfennigwerth - Evercore ISI: Thanks very much.
Operator: And our next question comes from the line of Kevin Crissey.
Kevin Crissey - Citibank: Hey, good morning, everybody. I want to come back to Duane's question in a second, but maybe we could start with, you have strong demand. Can you talk about, Marty, probably why there is close-in weakness? Is it solely – I don't believe it's solely in the Spirit markets. And so, we've seen it kind of cascade throughout the country. Just trying to understand how we have strong demand – okay capacity, not great, but okay overall capacity. Why are we seeing such close-in weakness?
Martin J. St. George - JetBlue Airways Corp.: Hi Kevin, it's Marty. I'm – just turned to Dave Clark here because we're both looking at each other trying to figure out what we said that might have implied close-in weakness now. I mean, I think we said we had a little bit in the middle of the third quarter, again, mostly tied to some of the fare issues but I'm not really feeling close-in weakness right now, so I'm – but we can follow that for the fact. I don't want to – I don't want to dwell on this thing (43:33).
Kevin Crissey - Citibank: No, no, no, that's fine. You did communicate that it did stabilize and got stronger, so, okay. I'm not trying to make it sound like you are getting something that you're not. Going back, I don't want to see what happened to United, kind of go into your stock, and I don't think it will. This call is going exceedingly better than that one. But the one thing that they didn't do is, they didn't frame their costs very well on the call and I'm not sure that you did either talking about the maintenance pressure as well as the way to mitigate it. There was a slide in there that talks about, I think it's slide 13, it has kind of like discussion of – you're going to have slower capacity growth and it has some investors wondering about the CASM Ex number here. Understanding that you're not going to give a specific guide for CASM in 2018, I would recommend that you somehow guardrail that at least to keep folks from getting overly concerned about it. So, is there a way you could give any more clarity on that.
Stephen J. Priest - JetBlue Airways Corp.: Yeah, Kevin. I'm not going to get into any debate about anyone else's call. I mean, we're very, very focused on JetBlue. I think we've been very clear when we've laid out our Structural Cost Program and zero to one CAGR, and going back to Jamie's question at the start and the seriousness about that. There is evident progress that we have made in 2017 to reiterate what I talked about earlier, as we continue to get this cost traction as we've gone through that. 2018, we're going to continue on that journey. And we've laid out a lot of specificity in the overall Structural Cost Program, around tech ops, around airports, around distribution, around corporate. We've given very sort of specific clarity about the path that we're going down. And so I don't think we're in a position where we haven't been clear.
Kevin Crissey - Citibank: Okay.
Stephen J. Priest - JetBlue Airways Corp.: We aren't guiding, at this point 2018 CASM, with – as Marty said, we've come out with a sense of what the capacity is going to do, because we are utterly and totally focused on driving above average industry margins and moving towards superior margins, and the cost story is a key part of that. And if you look at what we delivered in 2016, we were well above industry average margins. You look at 2017, excluding storms, we're well on the path to do that. And you shouldn't be expecting anything different apart from any sort of one-off type timing aspects like labor, et cetera, that shouldn't continue that path with regards to 2018. So I'm very, very comfortable in terms of where we're going, and I'm very comfortable with the commitments that we've made.
Kevin Crissey - Citibank: Okay, that's great structurally. I would push back. I'm not sure investors would see your 2017 as showing the progress that you're talking about. I understand – clearly, I have a degree of understanding of kind of the Structural Cost Program. But the flattish CASM Ex had a lot of Exes in there, like maintenance pressures and labor. Those are things that investors don't Ex out. So when they look at a headline number – forgetting the storms, they will back out the storms. But they look at the headline number and they don't see that progress. So I understand that you're seeing what it would have been and what the structural cost has done for you. Just a side comment. Not really looking for you to...
Stephen J. Priest - JetBlue Airways Corp.: Yeah. And then I will just take one other point in terms of the capacity reductions that we've seen this year. If you strip the storm out and you take into account, we've had three capacity reductions. We're still just within the original cost guide that we've had. So despite the ATC challenges this year, despite the capacity reductions that we've done, the underlying cost performance for this year for me has been good. And we will continue on that path going forward. And again I'm very confident with the building blocks that we have on the cost side of the business and the progress that we're continuing to make towards that 0% to 1% CAGR that we've committed to.
Kevin Crissey - Citibank: Thanks, Steve. Appreciate it.
Operator: And our next question comes from the line of Hunter Keay.
Hunter K. Keay - Wolfe Research LLC: Good morning. So obviously, you feel good about the cost going into next year. You don't want to put a number on it, that's fine. But do you feel good about your ability to expand margins next year?
Stephen J. Priest - JetBlue Airways Corp.: Again, Hunter, I'll pick that one up. Based on the trajectory that we've seen, Hunter, with regard to 2016 and then 2017, I mentioned the points about there could be some timing question marks around labor depending on how that goes forward. But we're very, very focused on all the building blocks of the business. Marty has got a host of opportunities with the likes of our growth in our Focus Cities, the growth of our Mint product, the TrueBlue credit card that we've got out there, and that focus that we've got on the revenue side. So that has been incredibly accretive to our margin side of the business. And then on the – as I mentioned to Kevin's question, as you continue to go to the right, and we get more and more traction on the Structural Cost Program that we're already getting, that is also going to add to the margin story. So I have no reason to believe why – apart from any potential one-off timing issues around labor, why we shouldn't be able to continue this journey of continuing above average industry margins towards the path to superior ones?
Hunter K. Keay - Wolfe Research LLC: Okay, Steve, thanks. And then a little bit more on this cost. How much of this is sort of like easy? I mean, I realize that none of it's easy. But let's just put it this way, maybe not noticeable to your employees and customers. And how much maybe involves some degree of acceptance from folks that are used to being treated very generously that things are changing around JetBlue. And this requires some degree of cultural adjustment. And this is both for employees and customers. And if you get to some of this harder stuff in 2019, even 2020, are you sure that the board really has your back to make these hard choices in the event that you're sort of past the easy stuff and you really need to effect real change here, behaviorally?
Stephen J. Priest - JetBlue Airways Corp.: Yeah, you raised a few points there. Number one, the board has absolutely got my back, and the board are incredibly supportive of the program and the initiatives going forward. I wouldn't characterize this as the – we've had a look at the low-hanging fruit, and you managed to get that stuff early. And as you go further to the right, it gets more and more difficult. As I've said consistently, this is structural. This isn't just looking at where we can shave bits of cost off the – off JetBlue. And it's about using our opportunities. And now that the greater size and the leverage that JetBlue has to negotiate, when we look at things like, again, engine contracts. When we've got 85 newer aircraft with 40 of which don't have an engine selection on them. When we're going into something like the V2500 engine RFP next year, and looking at the long-term maintenance. When I think about our lobbies in our airports, where we've both delighted our customers, made sort of great investments in technology, that's driving much better productivity as we go forward. And we'll have 12 lobbies done by the end of the year. So I don't see or concur with the view that we've taken the easy stuff to start with, and the more difficult stuff goes to the right. It's all about extracting value at the right times with the opportunities that point in front of us. The other point you made at the start was about our crew members. And I just want to remind you all that over 50% of our crew members are shareholders, and they completely get it. And when we engage our crew members, over 21,000 of us are working towards this, because we all recognize the importance that our founders went for, of this being a low cost airline. And when we can drive low cost, we can offer low fares to customers and attract them to JetBlue. And that's the foundation for our company, and so there's great, great alignment between our crew members and the leadership in terms of doing this together and making sure that we take every opportunity to reduce and rationalize our cost base to drive towards those superior margins and maximize shareholder returns.
Hunter K. Keay - Wolfe Research LLC: Steve, thank you.
Operator: And our next question comes from the line of Brandon Oglenski.
Brandon Oglenski - Barclays Capital, Inc.: Hey, good morning everyone, and thanks for taking my question. And thank you more for just keeping this call focused on JetBlue. I think it's helpful. So can you guys talk a little bit more about the ATC delays? I know we talked about it in the last call, but sounds like you're modifying your schedules next year to try to deal with this. But can you just inform us again what the core issue is here? Is it runway construction that won't be evident next year or do you run the risk that you modify your schedule and other people backfill it, and we're still in the same challenge that we had this year next summer.
Robin Hayes - JetBlue Airways Corp.: Hi, I'll take that. Look, I think as we think about ATC this summer, I think there were definitely some events that were co-mingled and we had a high propensity of weather events. We did have the runway closures, although the runway was open again for the peak. There is way the traffic gets prioritized within the different New York airports. And there's also concerns that we have expressed around staffing numbers, particularly in the N90, New York TRACON. We are partnering with the FAA on all of those issues because the two things that make this more of a chance for JetBlue is, first of all, our high utilization model. That is part of our cost – important part of our cost structure. And secondly we have the highest percentage of – the flights that go into GDP constrained airports, about 70% of our flying, and that's sort of data we shared before. So, we have the most to gain by getting this right. In terms of 2018, clearly the slot portfolio we have at Kennedy is a valuable one. So, I think, again, without getting into specifics, we're really thinking about how we buffer flights. So it does potentially become more – it does take more airplane time to fly the same number of slots. So that's what we're working through right now. And in many cases, the offset comes because if we can plan for this new reality, then we should also avoid some of the unplanned operational costs that we saw this summer. So, we're working for all of those. Longer term, that we think that longer-term, we are very focused on ATC reform. We are working very hard on that, but we're not sitting here waiting for that, because improving our on-time performance and getting the peak right is a core part of delivering above average industry margins with the goal to drive to superior margin. So it's a very important 11- to 12-week period for us to get right.
Brandon Oglenski - Barclays Capital, Inc.: Okay. Appreciate that, Robin. And Steve, not to come back on costs, but you had some comments about your A320, I think reconfiguration program, and the fact that it's on hold. I actually missed that part of your prepared comments, but could you go over that again? And if you're not able to up-gauge the seat count on your A320's, is that going to be a representative headwind on the cost CAGR heading into 2018?
Stephen J. Priest - JetBlue Airways Corp.: Thank you, Brandon. It's a good question. I'll get into a little bit detail. We have absolute confidence in making sure that we execute on the – these key components of our Structural Cost Program and drive towards superior margins. Just to give you a little bit of color. We hit some design challenges with the SpaceFlex product that's at the back of the aircraft on our restyled A321s. We have 21 of those in service. And we – what we decided to do, we saw a few issues with those. And so, we've been working with Airbus and Zodiac to address those issues and bring them back into the shop to make sure we get them fixed. We're about third of the way through the fleet. We started doing that in September, and the early signs are promising. So we're going to have a formal review point next month just to sort of do a proper sense check of the repairs that's being done, make sure they're up to spec because the last thing we want to do is to put this product on our A320 aircraft and then ultimately have to bring them back into do any repairs or servicing, so we want to get it right first time. So, yeah, we're very confident in the program. As I say, the early signs are promising from the A321 fixes, and as soon as we've got a bit more clarity on the day we're going to embark on the A320s, we'll let you know.
Brandon Oglenski - Barclays Capital, Inc.: Okay. Thank you.
Operator: And our next question comes from the line of Savi Syth.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey, good morning, everyone. Steve, I need to ask a cost question here again, just because when I think about the areas that JetBlue has kind of done a lot of improvements, you've done it on the monetizing side, you've done it on the balance sheet, CapEx side, but cost is the real area that you can really deliver here, and I know you talk about 0% to 1% CAGR over the next three years, but what we're trying to understand here is can we assume that to be the case in each of the next three years? And if you miss that next year, if you're at the higher end of that next year just because the savings that you talk about – you talk about accumulating as you get towards the end of the program, then early in the program and now with the cabin refresh timing, if you miss the higher end of that, is that because of the pilot issue or and what – how should we think about like next year ability to be within that 0% to 1%?
Stephen J. Priest - JetBlue Airways Corp.: Yeah, Savi, thank you very much for the question. It's a good one. I'll just give you some pre-points. As I said, we haven't specifically guided next year yet, so – but I understand the tone of the question and why you're going there. The Structural Cost Program, the 0% to 1% CAGR cover the 2018 to 2020 period. You should assume that we get traction the further we go to the right in sort of a general perspective. So the more you go the right, the more traction you get on the Structural Cost Program and the larger the impact on addressing the cost base. As you go – and that's predicated on a – as we mentioned on a mid to high single-digit ASM growth. As you navigate your way through that, we obviously will have a potential labor headwind, and as Robin said, we're not clear on the specific timing of that. So we weren't able to sort of say well when is that going to happen, and obviously, you need to build that into your model as you sort of see fit. But in terms of the overall CAGR, you're going to see general left to right, you're going to see potential choppiness based on that sort of one-off item, but when you look at the overall CAGR as a whole, that's the sort of 0% to 1% over the period.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay. So there is a potential based on the timing where – and I know some of the costs this year will get reversed next year, so it makes it very confusing just generally, but you could be above that early on and below that later on?
Stephen J. Priest - JetBlue Airways Corp.: That's – and again, that's mainly going to get predicated with the timing on any sort of labor deals. But yeah, I do appreciate it maybe a lot challenging coming off the back of 2017, because we've obviously had a lot of noise with regards to the ATC challenges and because of the storm impact. We've done a full reconciliation in the script and the materials today, but if you want to get into any more of that detail you can obviously give Dave a call because he'll be able to talk you through all of those impact.
Robin Hayes - JetBlue Airways Corp.: May I just add because, Steve, I think has really nicely described sort of our commitment on cost, but I want you to hear it from me personally as well as the leader of this company. We, as a team are incredibly focused on this. Our drive to superior margins is predicated on our ability to deliver this Structural Cost Program. So, as a leadership team, as a structure, it is something we are very focused on. It's the big things like engine maintenance, but it's also a ton of small things as well whether that's sort of some of the changes to the OTAs. And when I think, over the last several years, what we've accomplished on the revenue side and when I joined JetBlue the revenue was like 80% of the A4A average. I think we now give or take a 100%. When I think about what we accomplished on our balance sheet, what we've accomplished with our culture, what we've accomplished with our crew member, with our customer, focus on the customer and innovation, be under no mistake, we are equally determined to accomplish the same on our cost structure and the whole team is aligned around that and I'm very grateful for Steve's leadership but also the focus of the entire team. And so I know we can get into modeling questions around individual years, but this 0% to 1% over three years is a deadly serious commitment. It is ambitious, but we are absolutely resolved and committed to get it done.
Savanthi N. Syth - Raymond James & Associates, Inc.: Appreciate that, Robin.
David Fintzen - JetBlue Airways Corp.: And that concludes our third quarter conference call. Thanks for joining us. Have a great day.
Operator: And again, that will conclude today's conference call. Thank you for your participation.